Operator: Good morning and good evening. First of all, thank you for attending today’s conference call and now we will begin the conference of the fiscal year 2007 third quarter earnings results by LG Philips LCD. This conference will start with a presentation followed by a divisional training session. (Operator Instructions) Now we shall commence the presentation on the fiscal year third quarter earnings results by LG Philips LCD. Please go ahead, sir.
Daniel Kim: Thank you. Welcome to LG Philips LCD’s 2007 third quarter conference call. My name is Daniel Kim and I am the Vice President of Investor Relations. On behalf of LG Philips LCD, I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our CFO, Ron Wirahadiraksa; and Vice President of Marketing, Brian Kim. We have approximately one hour for this call. We’ll spend the first part of the call discussing the key issues for the quarter, which correspond to the slides available on our website. Following this, we’ll take your questions. Please do not hesitate to contact us after the call if you have further questions. Before we move into our discussion of the earnings results, you should be aware that this conference call may contain forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act and Securities regulations in Korea, including statements, among others, regarding LG Philips LCD’s expected future financial performance. You are cautioned that these statements may be affected by important factors, among others, set forth in LG Philips LCD’s filings with the U.S. Securities and Exchange Commission, and in its third quarter of 2007 earnings release. Consequently, actual operations and results may differ materially from the results discussed or projected in these forward-looking statements. LG Philips LCD undertakes no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. Now, please take a minute to read the disclaimer. We are reporting in consolidated Korean GAAP with an appendix to the presentation that includes our reconciled U.S. GAAP numbers. I would now like to turn the call over Ron.
Ron H. Wirahadiraksa: Thank you, Daniel. Let me begin by saying that we were generally pleased with our results in the third quarter, which exceeded our expected profit levels and followed the successful turnaround in the second quarter. The results of this quarter reflect our continuous focus on four key areas. First, over the last five quarters, we have implemented a company-wide directive to develop innovative cost reduction efforts, specifically in how we more effectively and efficiently engineer and manufacture our products. These efforts resulted in cost savings of 9% in U.S. dollars in Q3, which is ahead of our guidance, and also which positions us well to meet our annual target of around 30%. Second, we continue to maintain a very disciplined capital expenditures management. This has translated into an approach that requires us to be extremely close to the market, working collaboratively with our customers and our suppliers. And as to prepare for the future demand, we have decided to move forward with the gen-8 facility. Today, after thorough review, our Board of Directors has approved the investment in a gen-8 facility with an additional CapEx of WON 2.5 trillion. We are targeting ramp up during the first half of 2009 in the already constructed building called P8. The total CapEx for gen-8 will be around WON 2.7 trillion. We believe the timing is in line with expected market demand of large-sized LCD TVs. Next page. I’m sorry, not next page. Third, we are developing marketing initiatives focused on the needs of our customer base. Specifically, we are co-designing products that better reflect their needs. We will continue to work with our valuable customers to make sure that our products are ideally suited to meet their demands. Fourth, we are managing our inventory levels to better match both the current and projected market demand. The more rational approach to supply throughout the industry has led to the more stable pricing we are seeing today. In addition to these key areas, we continue to strengthen our technology base, leading to new products, processes, and technologies. For example, we have developed a comprehensive lineup of full HD panels, adopting a high frequency of 120 hertz, based on low resistance cover bus to reduce motion blur and utilizing super IPS technology for a wide viewing angle. As a result of this, our 42-inch TV panel is steadily gaining market share in the 40-inch segment. We are continuously looking to improve our R&D in order to develop next generation displays. Please turn to the next slide. I will discuss the key highlights for the third quarter earnings. Revenue in the third quarter was WON 4 trillion, up 18% sequentially from the second quarter of 2007. The sequential sales increase was largely the result of improved ASPs and an increase in shipments, which was mainly due to higher seasonal demand. Total cost of goods sold increased 1% Q-on-Q, to WON 3.1 trillion, and we are well on track, as I said, to achieve our annual target of around 30% cost reduction for this year. COGS per square meter in U.S. dollars and Korean WON decreased 9% quarter on quarter. Cash COGS per square meter in U.S. dollars decreased 8% sequentially, and in Korean WON, this was a decrease of 9%. The combination of increased shipments, higher ASP per square meter, and ongoing cost reduction led to an improved EBITDA of 35% and an increase -- and this is an increase of 10 percentage points. Net margin improved by six percentage points to 13%. Next slide, please. As of September 30, 2007, our cash and cash equivalents were WON 1.7 trillion. This represents a WON 418 billion increase over the previous quarter. This reflects our improvement in both net income and working capital. Finished goods inventory turnover levels for large panels decreased from two weeks to slightly under two weeks this past quarter. TV inventory levels were much improved to less than three weeks, while IT remained at under two weeks. We will continue to carefully manage the inventory levels. Our net debt-to-equity ratio at September 30 was 37%. Next slide. Cash flow from operations increased to WON 945 billion. Cash outlays capital expenditures of WON 328 billion decreased from the second quarter of 2007 and consisted primarily of investment in P7. Delivery-based CapEx, meaning addition to the balance sheet, was WON 91 billion, compared with WON 244 billion in the second quarter. As of the third quarter, we were in a situation of being free cash flow positive. To maintain our appropriate cash balance level and to reduce costs associated with our debt, we decided to move ahead with a partial advance redemption of our long-term debt during the third quarter. Please turn to the next slide. Now I would like to go into more detail about several specific performance metrics on the next slide. Shipment of total display area reached 3.1 million square meters during the third quarter. This was a sequential increase of 11%. The increase in TV shipment came in less than we guided for as we allocated some resources to the IT segment and because we experienced a short-term decrease in productivity at P7 whilst initiating some of our new cost efficiency initiatives. However, we believe that these are the right strategies that will bring about improvements to profitability in the TV segment. On average, ASP per square meter of net display area increased to $1,364 and total ending ASP per square meter also increased. This was $1,369. ASP per square meter was higher than our previous guidance, which was mainly due to strong demand and also the result of the disciplined CapEx spending of the industry from last year on. For the TV segment, average ASP per square meter in the third quarter increased 1%, while ending ASP per square meter remained flat. For IT, average ASP increased 15% and ending ASP per square meter increased 11%. Please turn to the next slide. For the third quarter of 2007, the TV segment represented 48% of revenues. This was the largest portion of our sales. That was followed by monitors at 25%, notebooks at 22%, and other applications accounted for 5% of our revenues. Revenue in the TV segment improved, mainly due to the increase of shipments in the third quarter. Although overall ASP in the IT segment increased, its share slightly decreased to a high portion of shipments in TV. Next slide. P7 reached production input capacity of an average of 127,000 sheets per month during the third quarter and that was slightly less than our ambition that we communicated of 130,000 sheets per month. As I said, we had somewhat of a slower start with some of our new initiatives, but we were able to meet the monthly target by the end of the third quarter. By the fourth quarter, we anticipate P7 capacity to remain approximately equal to the one that we reached in the third quarter, meaning 130,000, and this is considering seasonality and preparations for 2008. Cash ROIC in the third quarter of 2007 increased from the second quarter of 2007 by 19 percentage points to 61%. This increase is attributable to a higher EBITDA margin and much improved sales over invested capital in the third quarter. Next slide. I will now discuss the outlook on the next slide. For the fourth quarter of 2007, we expect for the TV segment, shipments to increase by a high single digit percentage, mainly due to strong demand and performance improvement at P7, with a mid single digit percentage declining average and ending ASP. In the IT segment, we anticipate shipments to decrease by a low single digit percentage, where average ASP will be flat and we expect a mid single digit percentage declining of ending ASP. Overall, we expect shipments in the fourth quarter to increase by a mid single digit percentage and both average and ending ASP will decline by a low single digit percentage. Our COGS reduction per square meter basis is expected to decrease by a low single digit percentage in the fourth quarter, positioning us well to achieve the annual target of 30%. EBITDA margin for the fourth quarter of 2007 is expected to be in the mid 30s. We have planned to maintain our CapEx of approximately WON 1 trillion for this year. Looking forward, we expect CapEx for 2008 to be around WON 3 trillion, mainly due to the preparation for P8. We feel this is the right approach, given the market demand expectations. Let me conclude by saying that we are encouraged by the progress we have seen over the last five quarters. We have made great strides in shifting the company’s focus from being volume-driven to becoming value-based. While our financial performance has certainly improved, we believe that this mindset has also led to better customer relationships and more generally a healthier macro environment, where manufacturing corresponds closely with current and future demand. We will continue to make the necessary improvements and will build on the progress that we already made. In time, you will see additional successes from our innovative technology, disciplined CapEx spending, carefully crafted cost-down initiatives and rational production. We are certain that the cumulative effect of these initiatives will bring about accelerated growth and will generate greater shareholder value. We will continue to update you on our progress and thank you for your ongoing support of LG Philips LCD.
Daniel Kim: Thank you, Ron. This concludes our earnings presentation for the third quarter of 2007 and we would be pleased to answer your questions now.
Operator: (Operator Instructions) The first question will be given by C.J. Muse from Lehman Brothers. Please go ahead, sir.
C.J. Muse - Lehman Brothers: Good evening. C.J. Muse with Lehman; a couple of quick questions on my end. I guess first off, on the 120 hertz panels, can you comment on what percentage of the TV mix you see penetration there in the second half of ’07? And then where do you think we will be in 2008?
Brian Kim: In this year, 42-inch case, 120 hertz penetration is 31% and next year, over 50%. And 46--inch and 47-inch case in this year, normally 76%, but our company gives over 85% and next year, we will touch on almost 90%.
C.J. Muse - Lehman Brothers: And in terms of the embedded electronics, are you looking to drive the smart panel adoption or are you seeing thus far in design-ins this year, where your customers are using MEMC technology from the likes of Trident, Philips and Micronis?
Ron H. Wirahadiraksa: At this moment, we are not particularly incorporating smart panel technology there.
C.J. Muse - Lehman Brothers: Secondly, I guess on the inventory front, can you comment by category, both TV, notebook and monitor, where you are seeing tightness and then where you are also possibly seeing some excess, as we are reaching sort of the peak panel seasonality?
Brian Kim: As you know, in the channel inventory is still healthy. The back-to-school sales were as expected, so we expect notebook and monitor most -- four weeks inventory but normally, the inventory level is 4.5 weeks, so we can say they still got the health. TV case, we think a normal inventory level is two months but now the market is still strong, so their inventory is below two months.
C.J. Muse - Lehman Brothers: And can you comment on where you are seeing the strength in demand on the TV side? Is that sort of tier two brands emerging markets or is that broadly across all geographies?
Ron H. Wirahadiraksa: Basically, we are seeing the strength across the board. As you might have noticed, I don’t know whether we should call them [inaudible] anymore but the brands such as Visio has been particularly strong this year.
C.J. Muse - Lehman Brothers: I guess I was trying to figure out more about the end market. Are you seeing strength across the board there or is possibly more strength Europe, less U.S.? Any visibility to that?
Ron H. Wirahadiraksa: At this moment, we still see strength. Of course, everybody is mainly concerned with the possible fallout and impact on the U.S. economy of the sub-prime mortgage issues. We have seen slower housing starts and car sales down but by and large, we have no indication at this moment that there will be some large demand drop for TV. We expect that to continue. We will be continuously monitoring it, of course, very closely and there will be some impact but at this moment, it is difficult to assess. Things look fairly okay. By the way, may I ask that you hold the rest of your questions and give other people first a chance to ask something?
C.J. Muse - Lehman Brothers: Of course. Thank you.
Operator: The following question is by J.J. Park from JPMorgan. Please go ahead, sir.
J.J. Park - JPMorgan: Good evening. I have a question on the [inaudible]. Looking at the effective tax, I think you paid almost 20% effective tax rate in the third quarter. Can you a little bit elaborate how it was, given that you had the huge balance of the tax credit?
Ron H. Wirahadiraksa: Yes, well, of course, as you know, at a lower CapEx level, also the investment tax credit have come down and we have a carryover loss from last year, so basically income tax rate is still zero. But we came out of last year with a quite significant deferred tax asset position and we are lowering that as we make profit, so that explains why we have booked a taxable -- tax charge in the income statement.
J.J. Park - JPMorgan: So assuming you can continue to generate decent profit, is it safe to assume that your effective tax rate will be around 20% going forward?
Ron H. Wirahadiraksa: Yes, it will be around that area. But as I said, this was mainly to the DTA. The income, the effective income tax rate for this year will be we think not very high.
J.J. Park - JPMorgan: Okay. Thank you.
Operator: The next question is by Andrew Abrams of Avian Securities. Please go ahead, sir.
Andrew Abrams - Avian Securities: I have two questions; first, can you give us a little detail on the cost reduction program for the third quarter and going forward, how it broke down -- I mean, was it new design, was it materials, or how that breaks down?
Ron H. Wirahadiraksa: Yes, well, as we already guided last quarter, the second half of this year the purchasing price down from zero cash purchases would be a little bit more modest. But of course, it still contributed. We would say the main contribution comes from development innovation. So we have uploaded more of the cost innovative models in both TV and IT product segment.
Andrew Abrams - Avian Securities: Okay, and on gen-8, once you open, what is going to be the total capacity available to the facility if it is fully built out and where do you think you will be by kind of third quarter of ’08?
Ron H. Wirahadiraksa: We are having an initial design capacity of 83 and we’ll try to ramp that up in a reasonable speed in line with market demand. At this moment, it is too early to say where we will be in Q3 but as we said, first half so let’s say midpoint of Q1, so we’ll probably be well on our way, but not 83,000 that time of year.
Andrew Abrams - Avian Securities: Thank you.
Operator: The next question is by Evan Erlanson from Bear Stearns. Please go ahead, sir.
Evan Erlanson - Bear Stearns: Congratulations on a great quarter. My first question is on CapEx. I just wanted to reconfirm whether the 3 trillion number for 2008 is a cash CapEx or is that an addition? And also, to reconfirm the 1.7 trillion for 2007?
Ron H. Wirahadiraksa: Very good question, thank you. That is the 3 trillion, around 3 trillion, not yet cast in stone, is what we call delivery CapEx, so the addition to the balance sheet. And as we expect this year to have -- sorry, end of next year to have slightly higher equipment at the end of the year, we expect the cash out to be lower. I think at this moment half 0.5 billion dollars lower.
Evan Erlanson - Bear Stearns: So we are talking 2.5 trillion cash CapEx?
Ron H. Wirahadiraksa: Yes, that’s it -- WON 2.5 trillion. But it’s a very tentative number.
Evan Erlanson - Bear Stearns: And for the -- there was one comment in the presentation actually about the effect of a strengthening WON on the operating income. I guess you have a guidance for EBITDA margins in the mid-30s for Q4 and then you are guiding for operating income to be slightly lower than it was in Q3, so if you could help me to understand the FX impact, why would it fall through the operating income level rather than the EBITDA level, that would be great.
Ron H. Wirahadiraksa: You know, what goes in the operating income level also translates ultimately back into the EBITDA level, so it is true that we think that the exchange rate to the dollar will be probably around 9.10, maybe a little lower, so that is very different from what we have experienced in the previous quarter. That was above 9.20 or 9.25 on average. So yes, there will be a for-ex impact but that is, of course, in operating income -- but the operating income plus the other business income expenses where for-ex is booked is basically EBIT plus depreciation and amortization, you have EBITDA, so the number comes straight back into EBITDA.
Evan Erlanson - Bear Stearns: Okay, and also, finally on the OLED business theoretically to be acquired from LG Electronics, is this going to be closing by the year end and do you have an update on what the plans are for that?
Ron H. Wirahadiraksa: Are you talking about the OLED business? Did you say that?
Evan Erlanson - Bear Stearns: Yes, the OLED.
Ron H. Wirahadiraksa: Yes, so that’s not really a business takeover. We are not taking over the activity. We are taking over the resources, basically meaning some of the engineering and if there is usable IP, we will do that but we are reviewing that now. We hope to conclude that in this quarter.
Evan Erlanson - Bear Stearns: In Q4, and so that is going to be classified as a capital expenditure or is that going to be some sort of other investment?
Ron H. Wirahadiraksa: Well, not really capital expenditure because if we take over the people, then we have to pay I guess some good will for having them brought, them having been educated to a good technological state, plus the IP. And if we buy IP, then we will write that down subsequently. So there is more on the intangible side, there will be some slight increase. But I think the amounts are not very big, frankly speaking.
Evan Erlanson - Bear Stearns: Okay. Thank you very much.
Operator: The following question is by [Harsh Agawa] from Lehman Brothers. Please go ahead, sir.
Harsh Agawa - Lehman Brothers: My question has been answered. Thanks.
Operator: (Operator Instructions) The next question is by Mr. Dinwoodie from UBS. Please go ahead, sir.
Christian Dinwoodie - UBS: Thank you. Could you tell us a little bit more about the SG&A jumping it seemed quite considerably in the third quarter, and if we should expect that going forward?
Ron H. Wirahadiraksa: The increase in SG&A is mainly due to an increase in transportation. We are doing a lot of air shipments to satisfy customers’ requirements. Unfortunately, that leads to increase in transportation across the -- as you see, it is much more expensive than road transportation.
Christian Dinwoodie - UBS: Do think that it -- is it seasonal or should we expect it to come back down in the first half of next year? Is it going to be tied to the fourth quarter as well?
Ron H. Wirahadiraksa: It should be coming down through the fourth quarter, so we expect the fourth quarter, the amount will be lower than in Q3.
Christian Dinwoodie - UBS: Okay. Thank you.
Operator: The following question is by Jeffrey [Totter] from ABN Amro. Please go ahead, sir.
Jeffrey Totter - ABN Amro: Good evening. A couple of questions; first, your guidance for decline in cost of goods sold, is that in U.S. dollar terms?
Ron H. Wirahadiraksa: Yes.
Jeffrey Totter - ABN Amro: And is that average on average or year-end, 4Q on 4Q?
Ron H. Wirahadiraksa: It is Q4 on Q3.
Jeffrey Totter - ABN Amro: No, no, not for the guidance -- the full year guidance of a 30% reduction.
Ron H. Wirahadiraksa: That is average ’07 over average ’06.
Jeffrey Totter - ABN Amro: I calculate actually that you are already running ahead of your 30% guidance.
Ron H. Wirahadiraksa: That is on a year-on-year basis, correct, but --
Jeffrey Totter - ABN Amro: A year-on-year basis, yes.
Ron H. Wirahadiraksa: But we still have to make the fourth quarter.
Jeffrey Totter - ABN Amro: Well, if you make the fourth quarter, it looks like you will do about 35% for the year, which is a fantastic improvement. I was wondering what you think your cost improvement might be next year.
Ron H. Wirahadiraksa: Next year, probably slightly lower. I am not giving a guidance number yet because we are also will spend money on getting resources for gen-8 started and I think it will be slightly lower than the 30% but I cannot guide you at this moment.
Jeffrey Totter - ABN Amro: And your inventory turnover, which you pointed out, has come down substantially. I was wondering if you have a target rate for that or if part of the reduction, you said you are shipping more by air. That brings your inventory levels down. What do you expect a normalized level might be going forward?
Ron H. Wirahadiraksa: A normalized level for us is around four weeks, between three and four weeks, I would say. So at this moment, it is really tight inventory. The business units are basically complaining a lot but this is the situation. We are living in a shortage time. And of course, we have a lot of customer complaints so we have to maneuver. I expect that to ease down towards the end of the fourth quarter and going into the first quarter of next year.
Jeffrey Totter - ABN Amro: And going into first quarter last year, the supply/demand dynamics were obviously a little bit different but a lot of panel makers, including yourselves, made some reductions in utilization rates. Are you -- any plans -- obviously you are running at 100% now. Any plans on how you might approach first quarter?
Ron H. Wirahadiraksa: By the way, I think you mean this year first quarter, not last year first quarter.
Jeffrey Totter - ABN Amro: This year first quarter, it was down. I was asking about 1Q08.
Ron H. Wirahadiraksa: Right, so maybe around 5%, between 5% and 10% that we reduce our production operating rate, depending on the outlook for demand. It depends also on how we are coming out of the fourth quarter, inventory wise for ourselves and for the retail.
Jeffrey Totter - ABN Amro: Okay, and I guess as a -- just as a final question, you mentioned that you are accelerating your -- you paid back some of your debt early. What do you see as your target gearing ratio now? You mentioned in the last call that you might be looking at net cash as your target rate instead of I think 30% was your previous, is your current target.
Ron H. Wirahadiraksa: Yes, that is still a discussion that we are having and in the meantime, we are trying to bring down the debt as much as possible.
Jeffrey Totter - ABN Amro: Okay. Actually, one final question; for the CapEx for next year, that would not start depreciating until 2009 when you ramp up the facility, is that correct?
Ron H. Wirahadiraksa: Yes, of course.
Jeffrey Totter - ABN Amro: Great. Thank you very much.
Operator: The following question is by Oliver Lee from Alliance Capital. Please go ahead, sir.
Oliver Lee - Alliance Capital: Could you please give me the guidance roughly for the capacity increase next year and potentially, if you add P8? How would it look like for the 2009?
Brian Kim: We expect next year, the demand will increase 35% compared to this year. But the supply is a little bit [limited], so we expect the supply will increase to 31%. But our company case will increase 34%. We will increase 34% compared to this year, so we can sustain our market share using that capacity.
Ron H. Wirahadiraksa: What Brian is trying to say is that the demand next year is going to increase by about 35%, according to the display surge. And industry’s supply is going to be increasing at about 30%. Our capacity increase next year, inclusive of all the max capa min loss, programs that we are incorporating, we are running in line or slightly ahead of the industry’s supply, but below the market demand growth. So that is one of the big reasons why we are expecting a tightness next year.
Oliver Lee - Alliance Capital: Okay, so in 2009, you basically will follow these strategies, slightly lower than the market demand growth. Is that right?
Brian Kim: 2009, we will be ramping our gen -- starting to ramp our gen-8, so at this moment, we do not have a firm idea what the demand is going to look like. I cannot comment on whether it is going to be below the industry norm or not.
Ron H. Wirahadiraksa: To be more specific, Oliver, we think capacity growth will be around 25%. Oliver? Hello?
Daniel Kim: Hello? Operator?
Operator: Yes?
Daniel Kim: Did we lose Oliver Lee? Can you try to contact?
Operator: Okay. Wait a moment, please. Sir, should I go to the next person? Hello?
Daniel Kim: Yes, please do that.
Operator: Thank you. The next question is by [inaudible] from [inaudible]. Please go ahead, sir.
Unidentified Analyst: Thanks, guys. Congrats on a great quarter; two quick questions. One, can you talk a little bit, Ron, about the size mix in Q3 and your guidance for Q4 on the TV side? What did 32-inch do on a Q-on-Q basis to 42 and 47 and above?
Ron H. Wirahadiraksa: We’ll give you the answer in a moment. Do you have any other questions?
Unidentified Analyst: Sure. The second question I have is on your gen 8, what are your plans for the panel cuts? Are you planning to focus on 47-inch and above or will you follow in Sharp’s lead and use a gen-8 for cutting 32-inch panels?
Ron H. Wirahadiraksa: We intend to cut 47, 52 and possible also 32.
Unidentified Analyst: Okay, possibly 32.
Ron H. Wirahadiraksa: Yes, and then to answer your question, you want to know in the 40-inch segment, it’s about a 40% increase and in the 32, 37 -- also the portion, 43%, and the 32, 37 portion, 47%.
Unidentified Analyst: Could you repeat that again? 40-inch was 40%?
Ron H. Wirahadiraksa: 42, 47, the portion was 43%, and 32, 37, the portion was 47%.
Unidentified Analyst: And what is your outlook for Q4?
Ron H. Wirahadiraksa: I think it is more or less the same.
Unidentified Analyst: Great. Thank you.
Operator: The next question is by Oliver Lee from Alliance Capital. Please go ahead, sir.
Oliver Lee - Alliance Capital: Sorry about the disconnection. My second question is in the second quarter, the throughput is higher than the third quarter. Is there any reason for the reduction of the throughput in the third quarter?
Ron H. Wirahadiraksa: Well, we have increased shipments in the third quarter by 11% and that was good, but it was actually a little bit below the expectation. So as I said, we have taken some new initiatives which we call max capacity, minimize loss in the gen-7 line and we were a bit slower than our ambitions. So that explains why we have a little bit less shipment than we intended but there was still more growth than in Q2.
Oliver Lee - Alliance Capital: Okay, so in the fourth quarter, can we expect the throughput increase or pretty much the same as the third quarter?
Ron H. Wirahadiraksa: It will increase but we will experience shipment increase in the fourth quarter also, as we guided.
Oliver Lee - Alliance Capital: Okay, thanks.
Ron H. Wirahadiraksa: Oliver, I want to check with you; did we answer your first question? I’m not sure if the message came across but to give you the intended number, we think we are able to increase capacity by about 25% at LPL and our shipments will probably be over 30%.
Oliver Lee - Alliance Capital: Okay. Thank you.
Operator: The following question is by Mrs. [Dash Pand] from Principle. Please go ahead, Madam.
Dash Pand - Principle: Yes, I just wanted to check on the notebook panel side, are you seeing any slowdown in demand for the fourth quarter [inaudible] component -- this is like from your budgeted all year, budgeted is a slow down.
Ron H. Wirahadiraksa: At this moment, we do not see a slowdown in the notebook but as you may have heard, there is a disservice in the battery supply recently, so for the time being, we do not believe notebook is going to go into shortage but if that shortage of batteries prolongs, then there might be some effect that comes to the panel makers. In that case, maybe more of the panel makers will probably shift their notebook panel production into monitor panel production.
Dash Pand - Principle: Right, and I have a follow-up question; I wanted to get your thoughts on what’s the kind of PDP price competition you see for the fourth quarter?
Ron H. Wirahadiraksa: Well, PDP as we have seen last year, when they had the overstock, in the November timeframe they had -- they dumped the price and cleared the inventory. But because of the shortage of the LCD panels during the third quarter, even the PDP had a pretty good sales. We will still have to see going into November but the plasma TV at the retail channel inventory level has become better. I don’t know whether it has come to the level that will alleviate and therefore not, you know, for them not to dump the prices or not.
Dash Pand - Principle: Thank you.
Operator: The next question is by Jeffrey [Totter] from ABN Amro. Please go ahead, sir.
Jeffrey Totter - ABN Amro: I just wanted to clarify; you mentioned that capacity would increase by 20%, which is consistent with the last call. Where do you expect your 7 and 8G fabs to be at the end of the year to reach that number?
Ron H. Wirahadiraksa: Basically we said capacity growth would be 25%.
Jeffrey Totter - ABN Amro: Right, but if you break that down on a fab basis, what would the capacity of P7 and P6 be say 4Q08?
Ron H. Wirahadiraksa: P7 will be around 130.
Jeffrey Totter - ABN Amro: Which is ’08 -- that’s ’07, right?
Ron H. Wirahadiraksa: Yes, around 130, that is correct. So as I said, it will remain the same more or less at the end of this quarter. And for the gen 6 line -- do you have another question? We’ll have to get back to you on that.
Jeffrey Totter - ABN Amro: The 130K is the guidance for 4Q07?
Ron H. Wirahadiraksa: Right.
Jeffrey Totter - ABN Amro: 4Q08 is still going to be 130K?
Ron H. Wirahadiraksa: No, we will try to ramp the fab further.
Jeffrey Totter - ABN Amro: Right, that’s what I was asking, actually, is where -- well, P6 for I guess 4Q07 but also to achieve that 25% growth in 2008, where I assume most of the growth is still coming from these two fabs, what the capacity at the year end might be.
Ron H. Wirahadiraksa: Capacity this year end for, as I said, for gen 7, around 130.
Jeffrey Totter - ABN Amro: Right, but year end 2008.
Ron H. Wirahadiraksa: 2008, I am not going to guide for that at the moment but for the gen 6 line, we think around 165 at the end of this year.
Jeffrey Totter - ABN Amro: 165K, okay, great. Thank you.
Operator: (Operator Instructions) The following question is by Mr. Jeff [Soo] from Merrill Lynch. Please go ahead, sir.
Jeff Soo - Merrill Lynch: Good evening. Sorry, I just had a quick question more on the overall industry trend because it seems that one of the trends we are seeing across the landscape is sort of panel makers working more closely with the assembly or the system integrators, whether it’s for to sort of help the loading during the slow season or to eventually prepare to pave the way for TVs. We’ve seen this recently with TPV and [Gema] and some of the other Taiwanese making cross prints into the assembly side as well. I was wondering if you could highlight or share with us LPL’s thinking on this particular aspect and maybe the long-term strategy for this type of business model going forward. Thank you.
Ron H. Wirahadiraksa: Thank you for the question. Actually, as we said last quarter, we are looking into a similar kind of business model changes but at this moment, there is no specific plan. We are reviewing what is the best way forward and looking at suitable partners but yes, we are also looking in that direction.
Jeff Soo - Merrill Lynch: Okay. Thank you.
Operator: The next question is from [Chun Tan] from [Nevas] Capital. Please go ahead, sir.
Chun Tan - Nevas Capital: Good evening. I wanted to clarify again about the capacity increase for 2008. I think earlier you mentioned that 2008 demand would increase 35% and supply by 31%, with LPL by 34%. I’m not sure if I got that right because we were later on talking about 25% capacity growth, so which is it for 2008?
Ron H. Wirahadiraksa: We expect our capacity to growth with the 25% and our shipment will be probably a little over 30%.
Chun Tan - Nevas Capital: Okay, and for your capacity growth, even 25% sounds like quite a high number, given your CapEx cuts this year. How much of that will be driven by that max cap initiative versus just a normal ramp of P6 and P7?
Ron H. Wirahadiraksa: It will all basically come from additional ramp of the gen 6 and the gen 7 line, as I said. So the gen 7 ends the year at 130K and the gen 6 at 165, as I answered the previous question. And for next year, those two fabs will help generate the bulk, the vast majority of the growth in capacity and in shipments. As you know, we have been talking a lot about what we call, I repeat again, max capa, which means increasing the capacity through things like tech time reduction and also minimizing loss through increasing the operating ratio of the fabs. So we expect some effect from the effort that we have made in this year, also continuing to next year.
Chun Tan - Nevas Capital: My second question is have you got any plans to temporize your production within Q4 or are we only looking at that in the first quarter of ’08?
Ron H. Wirahadiraksa: Well, assuming that demand holds out as we see it now and as I said earlier, still there are some signs that there could be some slowdown. Those are the uncertain things. We haven’t seen that yet for TV but it may happen and if we see that, so we are watching very careful our retail inventories and sell through and talk a lot with our customers, then we will temporize production as we have been doing for the last year. We will try to sustain our inventory policy of around three to four weeks of inventory.
Chun Tan - Nevas Capital: Thank you very much.
Operator: The following question is by [Tor Miza] from Moon Capital. Please go ahead, sir.
Tor Miza - Moon Capital: Just a follow-up question on the supply and demand; you mentioned that demand will increase by 35%. That’s going to be on the unit side, right?
Ron H. Wirahadiraksa: Square meters. It’s area growth.
Tor Miza - Moon Capital: Area growth -- but your area growth is 25%.
Ron H. Wirahadiraksa: In capacity, but through some efficiency, the shipment can be higher so that’s why I said capacity growth 25%, shipment --
Tor Miza - Moon Capital: Okay, gotcha. That’s the shipment growth, 34%. And what about the size migration as we go into next year? Do you think it is going to be a pretty big shift in size to a larger size TV or are you just trying to understand the relationship between area growth and unit growth for next year?
Ron H. Wirahadiraksa: We think 42-inch which I already is making a lot of progress, will continue to grow and 47 will become more popular. And even within existing capacity, we are serving some of our customers with 52-inch. So by and large, the mix in larger panels should increase next year.
Tor Miza - Moon Capital: Okay, and my second question is on the sale of stake. I wonder if you guys have any comments on the progress on that and the resolution on that sale.
Ron H. Wirahadiraksa: Basically, that’s a question that you have to ask Philips, but they have said they are going to sell down probably within this year. At this moment, there is nothing specifically known to us on initiatives that they are deploying to sell.
Tor Miza - Moon Capital: Right, but are you talking to any potential -- just in terms of just playing the situation, like just trying to figure out what could be potential partners that you could have?
Ron H. Wirahadiraksa: That’s a good point. Of course, there are a few people that we’ve been talking to but at this moment, it doesn’t seem that a deal or something is very imminent, so there is not a lot of initiative going on there at this moment.
Tor Miza - Moon Capital: Okay, great. Thanks, guys.
Ron H. Wirahadiraksa: We’re not aware of those initiatives because they are not telling us. Let me also, on the supply and demand side, our intention is to sustain our market share and we will do our best with the capacity we have and the initiatives that we will be deploying to sustain market share, even next year. We will make an effort to prolong that. I thought it would be good to clarify our intention.
Tor Miza - Moon Capital: Thank you.
Operator: The following question is by Daniel Kim from Merrill Lynch. Please go ahead, sir.
Daniel Kim - Merrill Lynch: I have just one quick, simple question. Despite the excellent results in Q3, I think LPL missed the volume guidance in Q3. The previous guidance was like mid-teens volume growth. Actual volume growth in Q3 was only 11%, so I’m just wondering what was the main reason behind this missing volume guidance?
Brian Kim: Actually, the shipment -- the less than guided shipment was basically in part came from shifting of production to some degree to IT products and the second part was that we in the third quarter have largely inputted the second generation of the re-engineered co-designed new products into our fabs, and there are sometimes at the beginning of production, low yields problems. But we were compensated by the bigger than the usual profit levels.
Daniel Kim - Merrill Lynch: Thank you.
Operator: The next question is by Mrs. [inaudible] from Principle. Please go ahead, Madam.
Unidentified Analyst: Just following up on the earlier question from Jeff Soo --
Daniel Kim: Operator, can you give assistance?
Operator: She is not connected, sir.
Daniel Kim: All right. Let’s go to the next question. Maybe there will be a rebound.
Operator: (Operator Instructions) Mrs. [Dash Pand] is back now, so the next question is by Mrs. Dash Pand from Principle. Please go ahead, Madam.
Dash Pand - Principle: I just wanted to follow up on what would be your thoughts on the assembly side when you said you would look at probably doing something out there. Would it be okay with LPL to get a brand along with the assembly operation or would you look at a pure assembly operation?
Ron H. Wirahadiraksa: We would look basically to partner with somebody and thereby adjust our business model.
Dash Pand - Principle: Right, so in terms of partnering, would it be okay with LPL to partner with a person already at a brand?
Ron H. Wirahadiraksa: No, probably it will be with integrators and we foresee that TV manufacturing will also go more the way, like IT manufacturing, toward system integrators instead of making it by the brand, so we will be looking more at partners in those areas.
Dash Pand - Principle: Thank you so much.
Operator: The following question is by Mrs. [Jin Li Wuan] from [Sora]. Please go ahead, Madam.
Jin Li Wuan - Sora: Thank you. Can you please talk about inventory in the supply chain? In other words, the downstream distribution guys’ inventory level as healthy as you? Thank you.
Ron H. Wirahadiraksa: The inventory level that we have checked, as Brian has already mentioned, the sell-through during the back-to-school season has been as we expected. The inventories at the retail channels when we checked, the IT inventories were at about four weeks, four to six weeks, which is healthy, and for TV, normally we regard inventory levels of six to eight weeks to be healthy and it was within that range. So throughout both IT and TV, the inventories were very healthy.
Jin Li Wuan - Sora: Thank you.
Operator: Currently, there are no participants with questions. (Operator Instructions) The next question is by William [Lan] from [Invisible]. Please go ahead, sir.
William Lan - Invisible: I just wanted to get any guidance that you would be prepared to give on depreciation for next year.
Ron H. Wirahadiraksa: Depreciation next year probably will be slightly below this year’s depreciation. Yes, slightly below.
William Lan - Invisible: And Q4 this year will be roughly the same as Q3?
Ron H. Wirahadiraksa: Yes, that’s right, so bringing the annual depreciation number, as we mentioned a couple of times, to around to WON 2.7 trillion.
William Lan - Invisible: Thank you.
Operator: Currently, there are no more participants with questions, sir.
Daniel Kim: There are no more questions. We would like to thank you all for attending our conference call and if you still have further questions, you can always contact us. Thank you.